Lixi Yuan: Good morning, good afternoon and good evening. Welcome to Lenovo's Earnings Investor Webcast. This is Lixi Yuan, Director of Investor Relations at Lenovo. Thanks, everyone, for joining us. Before we start, let me introduce our management team joining the call today. Yuanqing Yang, Lenovo's Chairman and CEO; Winston Cheng, Group CFO; and Luca Rossi, President of Intelligent Devices Group; Ashley Gorakhpurwalla, President of Infrastructure Solutions Group and Sergio Buniac, Senior VP of Mobile Business Group and President of Motorola. We will begin with earnings presentations. And after that, we'll open the call for questions. Now let me turn it over to Yuanqing. Yuanqing, please?
Yuanqing Yang: Hello, everyone, and thank you for joining us. Today, I'm pleased to report that Lenovo has started 2025, 2026 fiscal year strong with record-breaking first quarter results. This is a remarkable achievement amid the challenges of tariff volatility and geopolitical landscape. Our group revenue grew by 22% year-on-year to USD 18.8 billion, an all-time high for our first fiscal quarter. Net income on a non-Hong Kong FRS basis also increased 22% year-on-year. On Hong Kong FRS basis, our net income more than doubled year-on-year, reaching more than USD 500 million. The difference is mainly due to the noncash fair value gain on warrants as a result of the share price movement. In the coming quarters, this factor may continue to have either a positive or negative impact. So we encourage the stakeholders to focus more on our actual operating performance and non-Hong Kong FRS measures. All of our main businesses achieved a solid double-digit revenue growth year-on-year. Our PC business, in particular, delivered over 20% revenue growth, the fastest pace in 15 quarters. Our non-PC revenue mix now reached 47%, and all of our sales geographies delivered a high or relatively high revenue growth. To capitalize on the unprecedented AI opportunities, we have been firmly executing our Hybrid AI strategy towards the vision of Smarter AI for all. Last quarter, we continuously drove innovations in both personal AI and enterprise AI with our R&D spending increased by double digit. By leveraging our ODM+-based end-to-end operation as well as our unique global local model, we have successfully overcome macro challenges, including tariff impacts. In the past 2 quarters, we have committed to preserving competitiveness, maintaining market share and sustaining profitability against the challenging external environment. I'm proud to say that we have delivered on our promises. We are well positioned to continue navigating future uncertainties. Last quarter, our IDG, Intelligent Device Group, delivered a revenue of USD 13.5 billion with 18% year-on-year growth. For PC and related business, our revenue grew 19% year-on-year, and we maintained the industry-leading profitability at more than 80%. All geographies achieved double-digit year-on-year revenue growth. Especially in China, our business returned to rapid double-digit growth. AI PC penetration continues to accelerate, now accounting for more than 30% of Lenovo's total PC shipments, strengthening our #1 position in the global Windows AI PC market. For smartphones, we also achieved a relatively higher revenue growth at 14% year-on-year, with the sales volume outgrew the market for 8 consecutive quarters. In markets outside of China, our market share reached a record high, and we are #1 in foldable with over 50% market share. Looking ahead, we will continue to build agent-native devices of various forms while enriching application ecosystem for AI super agent to boost the agent user engagement. This will drive towards One AI, Multiple Devices, positioning agent-native devices as the entry point for personal AI. Our Infrastructure Solutions Group, or ISG, delivered a solid 36% year-on-year revenue growth through strong execution of our CSP and Enterprise SMB dual strategies. We are firmly increasing investment on AI infrastructure market and R&D as well as enhancing our Enterprise SMB competitiveness even as the profitability was impacted in the short term. Our AI infrastructure business doubled its revenue year-on-year with a strong pipeline. Revenue from our industry-leading liquid cooling solutions grew 30% year-on-year. In China, we achieved a hyper-growth in revenue and a significant operating margin improvement. The enterprise IT infrastructure market is a rapidly evolving market from a traditional enterprise computing to cloud computing and now to artificial intelligence computing. While each technology revolution has brought new demand and greatly expanded the market, it has also brought new requirements for corporate investment and commitment. For Lenovo, we have always been able to anticipate these major shifts and proactively adapt, increasing our investments to seize the opportunities. This has been proven by our quadrupled ISG business in 10 years. So even though there is a short-term pressure on profitability, we remain firmly committed to investing in the transformation of the traditional enterprise SMB business model, in cloud computing and in AI infrastructure innovation and product development. By persistently executing our hybrid infrastructure strategy, we are confident that the ISG business will not only sustain mid- to long-term growth, but also deliver stronger profitability returns. Last quarter, as our key profit engine, Solutions & Services Group, or SSG, delivered another record revenue quarter, growing 20% year-on-year with more than 22% operating margin. Support Services business achieved double-digit growth. Managed Services and Projects & Solutions businesses grow even faster, driving their combined mix to nearly 60% of SSG's total revenue, an increase of almost 3 points year-on-year. Our AI solutions have experienced a strong momentum, especially in manufacturing and supply chain. Looking ahead, we will continue to build the capabilities in Lenovo Hybrid AI Advantage framework as our key differentiator. We will focus on developing horizontal building blocks such as digital workspace solutions, hybrid cloud, sustainability solutions, while at the same time, building simple and scalable vertical solutions powered by AI so that we can help solve customers' biggest needs and unleash Lenovo Hybrid AI Advantage. On top of the business performance, let me also cover some of the major progress specific to lending our AI strategy across our businesses. In personal AI, we led the global AI PC market and launched the Tianxi AI super agent in China in May. Now we are building a highly personalized user experience through agent-native devices and applications so as to boost the user engagement and we are encouraged by the steady growth momentum since Tianxi went live with our weekly active users rate averaging 40%. Ultimately, we will realize a highly personalized user-centric experience, operating seamlessly across devices, ecosystems and orchestrated across the client edge cloud architecture. In enterprise AI, after launching Lexiang, our first enterprise AI super agent in China, we are building AI model factory and developing AI agent platform to make Lenovo Hybrid AI Advantage real. We will showcase our latest innovations at the Lenovo Tech World @ CES held at Sphere in Las Vegas on January 6 next year. So stay tuned for more updates. Before I close, I'd like to reaffirm our commitment to delivering more breakthrough innovations for our customers, generating higher returns to our shareholders and creating lasting value for our stakeholders and the communities. Regardless of market cycles or geopolitical uncertainties, when we make a promise, we deliver. You can count on Lenovo's track record and join us in building a smarter future for all. Thank you. Now let me turn it over to our CFO, Winston. Winston, please.
Shao-Min Cheng: Thank you, Yuanqing. I will now go through Lenovo's Fiscal Year 2025/'26 Q1 financial and operational results. Our group started the year with exceptional momentum, delivering strong growth across all our business groups. We achieved a record high first quarter revenue of $18.8 billion, a robust 22% year-on-year increase, surpassing the previous record set during the pandemic. Net income attributable to equity holders on a HKFRS basis reached $505 million, up 108% from last year. On a non-HKFRS basis, net income grew by 22% to $389 million. Our robust Q1 results highlight the success of our ongoing transformation, driven by diverse growth engines. Non-PC revenues account for 47% of group revenues. AI revenues continue to grow significantly, increasing as a percentage of overall group revenues. All key revenue streams, PC, smartphones, infrastructure and services and solutions achieved double-digit year-on-year growth. Notably, our PC business secured a record high global market share of 24.6% while our smartphone business sustained year-on-year double-digit revenue growth for 7 consecutive quarters. Our AI infrastructure business, supported by industry-leading liquid cooling technology, saw its revenue more than double year-on-year. Solutions & Services Group, SSG, revenues grew 20% year-on-year, reaching an all-time quarterly high revenue with operating margin expansion. The strong performance highlights our transformation into a diversified global tech leader, well positioned to benefit from AI industry trends underpinned by relentless innovation and agility and resilience of our global supply chain. All key regions delivered strong year-on-year growth in the first quarter, validating the strength of the group's global footprint in over 180 markets, supported by a global local strategy and ODM+ model. In the PRC, revenue surged by 36% year-on-year, fueled by robust momentum across all business groups with higher contributions from AI PC shipments and our leadership in the commercial segment. In Asia Pacific, excluding China, revenue grew by 39% year-on-year with strong growth. PC and smartphone saw market share gains in key markets such as Japan and India. In the Americas, we saw PC market share gains for the ninth consecutive quarter and in EMEA, record bookings in Device-as-a-Service and software solutions, driving services revenue. Our growth is supported by strong liquidity management. In Q1, our cash flow from operations reached $1.2 billion, marking the highest level in the past 11 quarters. Free cash flow rebounded strongly to $751 million despite a higher CapEx. This was driven by robust operational cash flow and ongoing finance cost reductions. Net finance costs reduced by 9% year-on-year through optimization initiatives. Excluding the notional interest on convertible bonds, our net finance costs on a non-HKFRS basis dropped by 23% year-on-year. As a result, our Q1 cash balance was USD 4.5 billion, up 15% year-on-year, reflecting operational excellence and our disciplined approach to optimizing finance costs. This strong liquidity gives us the flexibility ability to navigate dynamic market conditions while continuing to invest strategically in innovation and growth opportunities. Our R&D investment increased by 10% year-on-year to USD 524 million, reinforcing our long-term commitment to driving innovation to support our hybrid AI strategy. our R&D technical workforce reached nearly 20,000 employees, representing 28% of our total head count. Our continuous investment in R&D not only strengthen our technology leadership, but also position us to capture structural growth opportunities across personal and enterprise AI. As part of our commitment to driving innovation, we continue to develop next-generation products that showcase Lenovo's engineering strength as well as customer-centric design. Our concept devices leverage advanced solar technology to extend battery life, while our industry-first rollable display PC that enhance multitasking goes from concept to production. On the infrastructure side, our proprietary Neptune liquid-cooling technology offers 100% heat removal to enable customers to operate high-performance server racks without specialized air conditioning. This is a critical differentiator for AI servers with rising cooling requirements. Each of these innovations reflects our strategy of combining performance, design and real-world use cases to drive differentiation across Lenovo's diverse portfolio. Before we move on to our business group performance, I would like to bring your attention to our non-HKFRS reporting measures, which excludes the impact of noncash items related to warrants and convertible bonds, as part of our Middle East Alat strategic transaction. We encourage investors and analysts to focus more on the non-HKFRS measures, which offer a clear view of our core operational performance as the noncash items related to warrants and the notional interest on the convertible bonds are expected to persist through the end of fiscal year 2027 and '28. For the quarter, the adjustments to HKFRS figures primarily include noncash fair value gain of $152 million from warrant revaluation and a notional interest of $28 million from convertible bonds. For further details on other noncash items, please refer to the supplemental financial materials included at the end of this presentation. Now let's turn to the performance of our business groups. The Intelligence Devices Group delivered another outstanding quarter. Revenue reached USD 13.5 billion, up 18% year-on-year. with PCs, tablets and other smart devices delivering the fastest revenue increase in the past 15 quarters. The PC business achieved market share gains across all key sales geographies in the fiscal first quarter despite the ongoing tariff volatility, demonstrating our product excellence, scale advantages, agility and supply chain strength. Operating profit reached $950 million for the quarter, fueled by a strategic shift toward premium products. Our smartphone business continues to be one of the fastest-growing OEMs globally with 7 consecutive quarters of double-digit year-on-year revenue growth. Our premium smartphone segment also outperformed with its revenue mix rising to 37% of total, a 7 percentage point increase year-on-year. Our leadership in PC and smartphone together with strong presence in tablets enabled by our cross-device AI ecosystem gives us a strategic advantage as we drive a seamless One AI, multiple devices experienced to enhance user AI interactions. Our strength in driving innovation through continuous R&D investment in AI capabilities is reflected in our leadership across commercial, consumer and gaming PC segments as well as the new Windows AI PC category. In the commercial PC segment, we lead the market with a 27.9% share, up 2.2 points year-on-year. Our workstation, including our flagship ThinkStation portfolio, drive strong demand with its superior reliability and processing power. On the consumer PC side, we also ranked #1 globally with a 20.2% market share, up 1.1 points year-on-year. The premium segment of our consumer business is experiencing strong growth led by our signature Yoga series with its innovative 2-in-1 convertible design. We also lead the gaming segment with 18.5% market share and our focus on sustaining this leadership with innovative products such as the award-winning Legion Pro 7. In Windows AI PC category, we have a leading global market share of 30.6%. These results underscore the balance of our IDG business and our leadership position. The Infrastructure Solutions Group delivered strong revenue growth in first quarter with revenue rising 36% year-on-year to $4.3 billion, propelled by strong momentum in both CSP and ESMB segments, both achieved over 30% year-on-year revenue growth. Our PRC business achieved hyper-growth during this quarter in terms of revenues. Our full stack AI-driven infrastructure product strategy successfully translates into a unique proposition despite regulatory challenges and continue to fulfill the rapidly rising local customer demand in the market. ISG recorded an operating loss of $86 million in the first fiscal quarter. Profitability was temporarily affected by strategic investments to enhance our long-term AI capabilities and accelerate the transformation of our ESMB business. Continuous investments in AI infrastructure, R&D and sales capabilities are crucial for ISG to capture this rapidly growing opportunities as global demand for AI server surges. We have seen our enterprise segment under the high velocity programs where channel enhancement is delivering double-digit revenue growth. We are confident about the upcoming launch of our next-generation LLM-based AI training servers in the second half of the calendar year of 2025, which will further strengthen our competitiveness in this high-growth market. ISG continued to broaden its customer base across both the CSP and ESMB segments in the first quarter with wins in cloud computing, security, content delivery, high-performance computing and AI server offerings applied across a range of leading educational institutions, financial companies and AI infrastructure providers. Our Solutions & Services Group continues its consistent growth trajectory in Q1 and achieved a record high quarterly revenue of $2.3 billion. This marks the 17th consecutive quarter of year-on-year revenue growth. Operating profit climbed 26% year-on-year to USD 501 million, with our operating margin expanding by 1.2 percentage points to 22%. Strong growth momentum in high-demand sectors, namely hybrid cloud, AI and digital workplace solutions fuel SSG's revenue growth, more than doubling IT services industry growth rate. Our as-a-service offerings gained significant traction with managed services and project and solutions services contributing 58% to SSG revenue, up 3 percentage points year-on-year. Notably, bookings in TruScale Infrastructure-as-a-Service surged with triple-digit year-on-year growth. We also saw deferred revenue on our balance sheet, a key indicator of future revenues for SSG support services, reach USD 3.5 billion. Looking forward, SSG's hybrid AI framework sets us apart by delivering a comprehensive suite of AI-driven solutions across the entire hardware life cycle extending into value-added services. In Q1, SSG secured significant customer wins across key verticals, including financial services, technology, logistics, construction and other sectors. For example, we deployed comprehensive AI solutions, including our LLM-in-a-Box to enhance AI capabilities in the financial sector. In construction and logistics, we delivered advanced multi-cloud platform management services infused with AI technology. Additionally, our end-to-end DWS enriched with AI features have been enthusiastically adopted by global technology leaders, further solidifying our ability to deliver impactful industry-specific outcomes. Amidst the world's current evolving macroeconomic challenges and shifting policy landscapes, the group remains focused on executing our strategy to expand market share and profit. Our globally recognized supply chain and our manufacturing footprint continue to support sustainable growth, strengthen our competitive position and enhance the group's resilience in adapting to changing market conditions. Thank you, and we will now answer any questions you may have.
Lixi Yuan: Thank you, Winston. Now we will open the floor for questions, and this session will be English only. [Operator Instructions] While we are waiting for the questions, allow me to introduce the management team again. Other than our Chairman, Yuanqing Yang, and CFO, Winston Cheng, we also have the following business leaders with us today for Q&A. Luca Rossi, President of Intelligence Devices Group; Ashley Gorakhpurwalla, President of our Infrastructure Solutions Group; and Sergio Buniac, Senior VP of Mobile Business Group and President of Motorola. Our first question is from Howard Kao from Morgan Stanley. On PC, can you talk about the trends you're seeing for third quarter and fourth quarter in 2025 calendar year? Are you expecting a sub-seasonal 4Q because of the pull forward demand due to tariffs? How do you think about your ability to gain share going forward? And any thoughts on commercial refresh in terms of where we are in this cycle? So for this question, I think I would like to invite Luca Rossi, our Head of IDG, to answer this question. Luca, please. Thank you.
Luca Rossi: Thank you. Thank you, everyone, and thanks, Howard. So as we mentioned in our prepared remarks, our PC performance last quarter was very strong with significant premium to market for Lenovo. And not only on the shipment front, but also on the consumption like the activations, we recorded positive premium to market in all geographies. I will say that our view remains optimistic for the financial year. We have good order visibility. We see growing PC end demand, accelerating activation data. And of course, this positive momentum of the market is augmented by the Lenovo share gain, which adds on top of that. And we see this as a sustainable item going forward, positive premium to market, while at the same time, we are investing for the AI PC leadership going forward and at the same time delivering and continue to deliver industry-leading profitability. So when I look at the market performance, definitely -- and this is also combining your ask on the commercial part, the Windows 10 to Windows 11 transition, I would say, at the moment, is in full speed in most of the geographies and most of the countries. It's not -- it's definitely not finished yet. We think this tail will continue for a couple of quarters. So at the present time, I will say we are confident for the remainder of the year for the shipments to continue to grow at mid- or maybe even high one-digit rate. Maybe to conclude on AI PC, I want to reaffirm that we have been leading the market. We have more than 30% share of the Windows AI PC, and we are working with our innovation, R&D to build not only devices but also the One AI, multiple devices ecosystem that we think will be a competitive advantage going forward in the second half of 2025 and particularly in 2026 and 2027. Thank you.
Lixi Yuan: Thank you, Luca. The second question we've got is from Leping Huang from Huatai Securities. Could you please provide an update on Lenovo's business progress in the Middle East since signing the cooperation agreement with Alat this year? What is the current revenue contribution from the Middle East region? And does Lenovo has a specific target for its future revenue share from this market? I would like to invite our CFO, Winston, to answer this question.
Shao-Min Cheng: Thank you, Lixi, and thank you, Leping, for your question. Clearly, we are the only company that's producing locally and building a manufacturing. We're well ahead of schedule in terms of build out this manufacturing facility for PCs, servers and other devices, including potentially smartphones. So on that basis, we're the only one who are strategically partnering, as you're aware, with Alat to align the Vision 2030 initiatives of KSA with the full capabilities of Lenovo. In terms of PCs, we are #1 in the market. We benchmark ourselves against where in other markets such as China, where we have been able to achieve great market share without a strategic alliance and in markets where we have built local strategic partnerships, such as in Japan, where we have partnerships with NEC and Fujitsu where we have an outsized market share as a result of this type of partnership. So in terms of KSA, with the -- and you will probably have seen in terms of the announcement, the appointment of Amit to our Board. So with this tightened partnership, we expect to capture additional share in the local market, particularly as we manufacture locally in the KSA for the KSA and also for the EMEA region. And I think you all have also seen that the great initiatives in terms of data center spend and build out locally as well as other companies such as HUMAIN and others in the local market, I think there's great opportunity for us in terms of our ISG business and other business as well, including other services business. So hopefully, that's helpful to respond to your question. Thank you.
Lixi Yuan: Thank you, Winston. Our third question is from Cherry Ma from Macquarie. The question is on SSG. So we saw very robust revenue growth in Device-as-a-Service and Infrastructure-as-a-Service. Can you share with us what are the drivers behind the strong growth? Was there a stronger geographical region driving this growth than others? And will this underlying trend sustain the growth momentum in the coming quarters? Given that our head of SSG can -- is unable to join the call, I would like to invite Winston on behalf of Ken to address this question. Thank you.
Shao-Min Cheng: Well, in terms of this trend of spending, the CapEx to an OpEx model, this is something that is a trend around the world. And I think from the perspective of Lenovo having this flexibility, we are agnostic in terms of customer demand. From a CapEx perspective or OpEx, we have the capability to provide both, and I think we're seeing very strong both growth in terms of our Device-as-a-Service and our Infrastructure-as-a-Service namely called TruScale. So from that perspective, we have seen strong growth across all our geographies in terms of this trend, and the SSG team led by Ken has been building out the full capabilities we have also seen significant customer wins on this part of the business as well, especially customers, in particular, with a global presence where Lenovo has a global capability to match up as a Global 500 company in terms of the footprint that's required by other Global 500 companies.
Lixi Yuan: Great. Thank you, Winston. The next question is from Himani Mukka from Canalys. How have the tariff uncertainties impacted your supply chain diversification strategy? Any quantitative insight on what percentage of our supply has been moved to your overseas production plants from China? And any insight on your future strategic direction, that would be great. So I would like to invite our Chairman and CEO, Yuanqing, to answer this question. Yuanqing, please.
Yuanqing Yang: Thank you. So I don't think big impact on our performance as well as to our global manufacturing or supply chain footprint regarding of the tariff uncertainty. So you can see from our last quarter's performance, so I don't think any substantial, meaningful impact. So I think that's mainly because, Lenovo, we have built a very unique, very competitive business model. We call it the ODM+ and the global ODM+ means we combine the in-house manufacturing with ODM together so that not only give us the cost competitiveness, a quick response to the customer requirement as well as we can benchmark with the best practice in the industry. Global local means we leverage global the best resources and deliver locally. So actually, we think the China manufacturing probably is the best manufacturing resources in the world. So it's hard to find another country to match its competitiveness. So it's not just a low-cost level, it's aggregation of the supply chain and components. It's a manufacturing culture. So you know, Lenovo, we have the global, we have manufacturing facility everywhere in the world. Regarding of the manufacturing costs, so for each of the PC, so at least $15 higher, so if you manufacture outside of China compared to manufacturing in China. So we will continue to leverage China manufacturing as a global competitive resource. But meanwhile, we have built more than 30 factories in more than 10 countries to help us to keep the flexibility and resilience to effectively avoid the high tariff. So actually, the tariff is not new to Lenovo. So we -- so some countries like Brazil, like India, they have the high tariff as well. We have dealt that very well with our unique business model. So I think the most important thing is how much tariff you pay. The most important thing is whether you can keep the competitiveness in the market, no matter it's a high tariff country or it's the lower tariff country. But I'm confident with Lenovo's unique business model, we can deal with the situation better than our competition. So I think this is a kind of China plus model has been working very well for us to keep the competitiveness in the U.S. and other markets. Thank you.
Lixi Yuan: Thank you, Yuanqing. The next question is on margins from Albert Hung from JPMorgan. So how to reconcile the meaningful quarter-on-quarter GP margin decline versus decent segment operating profit? What has dragged down the gross margin in the first quarter? And what's the margin outlook in the coming quarters? I'd like to invite our CFO, Winston, to answer this question, Winston, please.
Shao-Min Cheng: Thank you, Albert, for your question. You probably will have noticed that the ISG business for us have been growing quite fast. And in particular, we have come and disclosed that our AI server revenues more than doubled year-on-year. As you are very familiar with the dynamics of the current AI server industry that the margins in this segment, the deals are large, but can be slightly lower in terms of to gross margin as it relates to other segments of the server business, such as the SMB space or in terms of our IDG business. So overall, our GP margin actually would have been much higher, actually, north of 17% if we take out the CSP business. So I think that's what I would really emphasize for you. So as a result of business mix, we're seeing actually healthy margins in terms of PC despite the fact that we are gaining significant share in the market, as you would have seen, the 24.6% share at a probably historical high in our PC business and continue to be growing double digits 7 quarters in a row in our smartphone business. So I think overall, the margins is strong, considering that we're growing significantly above market in all our businesses. Thank you, Albert.
Lixi Yuan: Thank you, Winston. Next question is on R&D investment growth. It's from Cherry Ma from Macquarie. So R&D investment growth had decelerated over the last 2 quarters to 10% growth. How should we think about R&D spending growth over the next few quarters? I think this question is also for Winston. Please, Winston.
Shao-Min Cheng: In terms of R&D, this is absolutely a priority for us as we drive towards our hybrid AI strategy. And as you have seen from the results in the PC industry, we are leading in terms of energy saving efficiencies with concept devices such as the solar PC. We have a rollable which have really been talked about and won awards which we're going to production. And of course, we have an industry-leading liquid cooling solutions. And in terms of our services and solutions, growing very fast there in terms of other AI initiatives. So R&D absolute imperative, especially as we drive our one AI to multiple devices strategy as well. In terms of the management of expenses, I think absolutely, we track relative to the dynamics in terms of the market, especially as Yuanqing said earlier in terms of the environment and volatility due to the tariffs, but so we take a slightly more cautious stand from that perspective. But overall, this is a strategic priority spend for us, and we'll continue to spend on R&D to drive our business forward and also drive our transformation across our business, which you will have seen, 47% of our business today is non-PC, and we continue to experience very strong growth across not only our non-PC business, but also PC, but strong growth across all our businesses due to our investment in R&D. So absolutely important area for us.
Lixi Yuan: Thank you, Winston. Next question is from Jim Au from DBS. Lenovo delivered strong market share gains in both PCs and smartphones despite consumer sentiment being hampered by tariff concerns. Was there any boost from the front-loading shipments to avoid tariffs? Can the company's competitive edge in devices, which supported these share gains, be sustained in the coming years? I would like to invite Luca Rossi from Head of our IDG and also Sergio Buniac from MBG to answer this question. Over to you, Luca, please.
Luca Rossi: Sure. And thanks for the question. I'll start with the PC and then probably Sergio can help on the smartphone side. So for the PC business, as I said, we are performing extremely well in all geographies we operate. Hence, the tariff topic, which might have driven some of the pull-in or order anticipation, that is happening or maybe happening in the States, in the U.S., but obviously, we operate in the other four geographies where this topic is not on the table, and we have good performance and also good order visibility going forward for all the geographies. So I don't think we could or we should attribute the tariff order pull-in to a large explanation -- to a large part of the performance of the market or the performance of Lenovo. To the second part of your question on whether our devices share gain is sustainable or not, obviously, this is -- I would say, this is our job to continue to make us competitive with innovation, differentiation, our global local capabilities, our operational excellence. So in a simple answer, my answer is yes. We think we are able to continue to share gain moderately. We always balance growth, profitability, channel inventory adjustment so that we have always a healthy operation. We have done this now for many, many quarters, and I'm confident we will be able to continue to do that going forward. Thank you. Sergio?
Lixi Yuan: Sergio. Yes.
Sergio Buniac: Yes. To complement, I think very similar on the mobile side. I think with 7 quarters of double-digit year-over-year growth, 8 quarters of premium to market. So making it very sustainable. Our growth in North America was around 16%. That's in line with our overall growth, but there is growth coming from multiple markets. India at 43%, Japan, 40%, KSA at 33%, Italy, 17%. So we are seeing the growth across the globe coming from broader markets than the markets affected by tariffs. Also, we are seeing our premium segment Razr and Edge franchises growing faster that we are seeing revenue growing faster than [ CA ] and now represent close to 40% of our sales, that's almost a tenfold from 2 years ago. And we see that trend continues for the full year. We're still forecasting a premium to market and close to double-digit growth.
Lixi Yuan: Thank you, Luca. Thank you, Sergio. The next question is from Cherry Ma from Macquarie. Can you explain a bit more on the hiring investment we did to scale our ISG AI capabilities and the channel partnership programs during the quarter? Will be keen to understand how that product road map is going to pan out to capture the revenue opportunities. I would like to invite Ashley, Head of our ISG, to answer this question. Ashley, please.
Ashley Gorakhpurwalla: Thank you. Thanks for the question, Cherry. I think we all recognize the enormous impact AI is having on the infrastructure market, and Lenovo remains focused on becoming the best AI technology partner to our customers now and as this exciting market evolves. And so we're investing. We're investing to be differentiated in this AI marketplace. For example, we're growing Lenovo's global customer sales coverage, and we're aggressively acquiring new logos, new customers who need our technology, our servers to adopt AI into their infrastructure and their businesses. We are investing in our AI product portfolio with the road map today that spans the range from mainstream enterprise AI systems for inference and for example, token serving to rack scale systems for large language model training. And we plan to offer many of these systems, including the NVIDIA GB300 systems this calendar year. Our momentum is strong here, as we talked about earlier with revenue from AI servers more than doubling year-over-year. We plan even more research and development investment to further advance our world-class 45-degree C water cooled systems using proprietary Lenovo Neptune technology. And this really helps our customers optimize their power and cooling requirements, which leads to a better, more advantaged total cost of ownership for them. As an indicator of the adoption we're seeing, Neptune-related revenue grew 30% year-over-year in Q1. Further, we're investing in our AI Innovator ecosystem and AI Hybrid Advantage with partners such as IBM, Cisco, NVIDIA to deliver AI solutions that already have been tailored to customer outcomes. This will include, as Winston mentioned before, continued investment in the services portfolio for specialized vertical AI solutions and to continue to build capacity in TruScale for AI Infrastructure-as-a-Service. We are investing for growth in China as well as Rest of World. And in China to accelerate the hyper-growth we're seeing, we're building a localized full-stack AI infrastructure portfolio that really meets the needs of the local marketplace. And then finally, I'd note that we're remaining committed to building AI infrastructure manufacturing capacity in Lenovo's very unique ODM+ model. And here, we get to leverage, what Yuanqing mentioned earlier, the global local capacity and capability that Lenovo has built. Thank you.
Lixi Yuan: Thank you, Ashley. The next question is from Robert Cheng from Bank of America. Lenovo AI server sales doubled this quarter. What are the key growth drivers? Is the demand coming from China or global markets? Or any color on the segments such as CSP or enterprise? What's the merging of your AI server business? I would like to invite Ashley again, our Head of ISG, to answer this question.
Ashley Gorakhpurwalla: Sure. Thank you, Robert, for the question. As I mentioned, as we invest forward in portfolio and services and capability and sales coverage, we're seeing quite a bit of momentum in AI systems, and they range -- the drivers range, as I said before, from the beginnings of enterprises adopting AI for simple agent and agentic workloads to up through large language model training at the frontier level. And the products, the capabilities and services that we offer are different across that spectrum and that range of drivers. In some cases, with ready-made solutions off-the-shelf in a sense, ready-to-go AI solutions for inference and enterprise all the way up to highly customized and highly engineered rack scale systems for our -- in our cloud service provider capability that leverages, as I said before, ODM+ model. So I think we see growth across the spectrum. Today, if you measured it in units, it would be quite balanced; if you measure it in revenue, it would tend to -- the growth is driven largely by rack scale systems and the growth in training applications. We believe that will balance out over time as AI is adopted in a more meaningful way within the enterprises that we serve. In addition, you asked about China and Rest of World, I will say that we're seeing growth across all segments and all geographies. And in China, I think we're seeing what we would term as hyper-growth, especially related to AI, and again, across both the CSP and the ESMB segments. We don't break out margins specifically within our road map or our portfolios. So I'll defer that question. Thank you.
Lixi Yuan: Thank you, Ashley. Due to time constraint, the next question will be our last question for this webcast. We've got Rob Chang from KGI Securities asking what is the strategy to gain share in America, Europe AI PC market. So I'd like to invite Luca Rossi, our Head of IDG, to answer this question. Please, Luca.
Luca Rossi: Sure. So thanks for this question. So I would say, in general, our recipe for success and share gain will not change, R&D to drive innovation and to drive design to cost, operational excellence, global local capabilities. Now for AI PC, as I mentioned, we are growing rapidly in every geography, probably, I will say, with a high note in China where our super agent is leading the market, and we believe it will further help market share gains and margin expansion. Going forward, in America, Europe, but what I say is also valid for every other geography, we think that Lenovo has a unique opportunity for share gain and margin expansion by realizing our vision of One AI, multiple devices. And if you think about that, we are one of the few, if not the only, OEM that have the full offering from the pocket to the cloud; phone, PC, tablet, all the way to the infrastructure in the cloud and even whereabouts. And that ecosystem will play a role for differentiation in the AI PC industry going forward. Thank you.
Lixi Yuan: Thank you very much, Luca. So this was our last question. If you still have further questions, please contact our IR team directly. In the next few hours, the replay of this investor webcast will be uploaded to our IR website. Thank you again, everyone, for joining. Goodbye.